Operator: Good morning, ladies and gentlemen. Welcome to Gibson Energy’s Second Quarter 2020 Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. Mark Chyc-Cies, Vice President, Strategy, Planning and Investor Relations. Mr. Chyc-Cies, please go ahead.
Mark Chyc-Cies: Thank you, operator. Good morning and thank you for joining us on this conference call, discussing our second quarter 2020 operational and financial results. On the call this morning from Gibson Energy are Steve Spaulding, President and Chief Executive Officer and Sean Brown, Chief Financial Officer. Listeners are reminded that today’s call refers to non-GAAP measures and forward-looking information. Descriptions and qualifications of such measures and information are set out in our continuous disclosure documents available on SEDAR. Now, I would like to turn the call over to Steve.
Steve Spaulding: Thanks Mark. Good morning, everyone and thank you for joining us today. Given the uncertain environment when we hosted our last call at the start of May, I am pleased with how our organization responded and the results we were able to achieve. Following our last earnings call, crude oil prices recovered faster than we expected from just over $20 to $40 per barrel in June. This increased opportunities available to the crude oil marketing business and improved margins at our Moose Jaw facility. The response in crude oil price resulted in higher volumes than we anticipated for the quarter at Hardisty. And we also saw the results of our cost-reduction efforts across the organization. Our Infrastructure segment profit of $90 million really demonstrates its resilience. Taking out the efforts – the effects of our Moose Jaw turnaround, it was a very modest decrease from a record first quarter in our Infrastructure segment. Volumes at Hardisty recovered to pre-COVID numbers in June, and our Edmonton terminal was unimpacted. Marketing also had a great quarter with a segment profit of $44 million. As mentioned above, crude oil prices moved up $20 in the quarter. Utilizing our tankage at Moose Jaw and Hardisty, we were able to capture higher contango opportunities than we expected at the last earnings call. With both business segments doing well, adjusted EBITDA came in at $143 million and distributable cash flow at $94 million. These are both new high watermarks for Gibson. Again, I’m proud of how the organization responded in controlling cost and commercially. One area that we actually saw an impact from COVID was in our commercial discussions. With the swift drop in commodity prices, discussion paused. Most of these discussions have resumed, but it has set back many of our negotiations. However, we do not see this lost time impacting our $200 million to $300 million capital spend next year. We continue to expect to sanction 2 to 4 tanks a year. However, due to COVID and the pause in negotiations I mentioned, this year a tank or two could slip into next year. With the continued progress of TMX towards the Q1 2023 in-service date, we expect customers will need to secure their corresponding tankage at Edmonton sometime next year. We have room for about 2 million barrels at the Edmonton terminal. And we feel we’re very well positioned to compete with the other terminals in the area for that needed tankage for TMX. We have also resumed discussions for additional phases at the DRU. Interest is coming in from both the producers in Canada and the refiners down in the states. With the pause in discussions and given the complexity of the agreements required with this DRU, put together the whole value chain in place, we expect the sanction of another phase will be sometime next year. As I mentioned earlier, oil sands volumes through Hardisty are back to normal. It’s on the conventional side of our business where we’re seeing a more persistent impact and a slower recovery. As a result, we expect the capital outside defense in Canada will remain limited. In the U.S., we’re finishing out our existing capital program and are well positioned to continue to grow when Permian drilling restarts. For 2020, we have reaffirmed capital growth at around $300 million. Given we’re already in August, any capital approved through the balance of the year would largely be filling out next year’s program. The remaining spend this year is mostly at the DRU and the 3 tanks at the Top of the Hill there in Hardisty. These two projects are progressing well. We expect one of the tanks will be placed in service in October and the other two sometime in December. The DRU continues to progress forward, and we remain on track for that mid-2021 start-up. There are two other achievements in the quarter I’d like to briefly touch on. First, in May, we released our Inaugural Sustainability Report. We see this as a major step in our journey, in our ESG journey. We are currently working on our first mission to CDP this summer. We continue to embed ESG principles into our daily decision-making, our strategic planning and our capital allocation processes. Second, the refinancing of notes was a major win. Interest savings will be around $16 million per year. With the savings from the refinancing last year, we have exceeded our target when we became investment-grade of realizing $15 million to $20 million in interest savings. In summary, we had a great second quarter. We continue to execute, and we remain well positioned. The second quarter demonstrates the resilience of our terminals business and the capability of our marketing organization to find opportunities in nearly any market. We have resumed commercial discussions, and we see further growth for our Infrastructure business. We continue to expect to sanction 2 to 4 tanks on an annual basis and deploy $200 million to $300 million or more per year. And our financial position is very strong. We are fully focused on leverage and pay out well below our target ranges. I will now pass the call over to Sean, who will walk us through our second quarter results in more detail. Sean?
Sean Brown: Thanks, Steve. I would very much agree with Steve that we are pleased with how resilient our Infrastructure business was in delivering total segment profit of $90 million in the quarter. Clearly, oil prices and volumes recovered much quicker than our outlook on our call in early May assumed. With respect to the different components of our Infrastructure segment, our terminals were effectively in line with the first quarter after adjusting for some of the upside volume fees and spot train loading in that quarter. Contribution from our Canadian small terminals and pipelines was down about 40%, which was still slightly above our expectations. In the U.S., volumes increased slightly through the quarter as we completed several tie-ins into our Pyote system with shut-ins not being a driver, resulting in an increase in contribution to segment profit over the first quarter. At Moose Jaw, the turnaround was completed on schedule and slightly below expected cost. As a result, we experienced less than half of that $5 million quarter-over-quarter decrease in segment profit we initially expected due to the turnaround. We expect that segment profit from Infrastructure will continue to increase through the remainder of the year, which would also imply that we will likely come in towards the upper end of our original range of $360 million to $380 million in the Infrastructure segment profit for the year. With the 3 tanks coming into service at the Top of the Hill in the fourth quarter, we remain confident in achieving the quarterly run rate of approximately $100 million exiting 2020 or $400 million on an annual basis that we’ve previously guided towards. The rapid recovery in crude oil prices was also very beneficial for marketing, which was able to deliver $44 million in segment profit. As we talked about on our last call, with a steep contango in the forward curve and access to storage at Moose Jaw as well as at our terminals, we are able to participate in that opportunity. The quarter saw limited contribution from refined products given the extended turnaround. But as the market normalized towards the end of the quarter, we saw improving demand for the heavier ends as distillate remains fairly weak. In terms of our outlook for the third quarter, we would expect segment profit to be around the midpoint of our long-term run rate range of $20 million to $30 million. Our current forecast would also anticipate that marketing adjusted EBITDA will be fairly close to segment profit in the third quarter, though that gap could widen to the extent that we see another larger move up or down in crude oil prices and if we wait crystallizing our existing positions to the fourth quarter. With Marketing segment profit of approximately $80 million through the first half of the year and the third quarter guidance of $20 million to $30 million, we clearly now expect to be well above the full year guidance of approximately $100 million we provided on our first quarter conference call. We are not going to update that number at this time, though simple math would point to full-year results above the high end of our long-term run rate guidance of $120 million. Returning to the second quarter results, with both Infrastructure and Marketing delivering strong segment profit contributions and adjusting out $20 million non-cash unrealized loss in financial instruments within the Marketing segment, adjusted EBITDA of $143 million represents an all-time high for a single quarter. For context, that’s a $14 million or 11% increase over the first quarter of this year and a $34 million or 32% increase over the comparable quarter last year. And importantly, more than half of that increase was driven by the growth of long-term stable cash flows from our Infrastructure segment. G&A in the quarter was $8 million, which is slightly below the $10 million a quarter run rate we budgeted at the start of the year. Though we remain focused on minimizing costs in this environment, it’s likely too early to assume a permanent lower rate going forward as while there are clearly savings on items like travel there are additional costs in the COVID environment to facilitate working from home. So that’s definitely the outcome we’re driving towards. Quickly working down to distributable cash flow, On a sequential basis, the second quarter figure of $94 million was $8 million above the first quarter of 2020, and as Steve mentioned, also a record for a single quarter. Replacement capital of $8 million in the second quarter was $2 million higher with a portion of the spend during the quarter a result of an unplanned remediation project identified during a regular inspection. Even with the unplanned remediation work, we still very much expect to be in or around the $25 million number we budgeted at the start of the year. The remainder of the cash outflows during the quarter, such as interest, taxes and lease payments, were all consistent with the first quarter. Given our distributable cash flow this quarter was $14 million above the second quarter of last year, the payout ratio decreased to 60%, which is well below our 70% to 80% target range. As well, our debt-to-adjusted EBITDA decreased to 2.4x, well below our 3x to 3.5x target. While we have seen a partial recovery in the business environment, our bias will continue to be towards maintaining a conservative financial position. Consistent with that, we believe it is important to maintain access to significant liquidity. At the end of the quarter, we are only $80 million drawn on our credit facility with a similar amount of cash in the balance sheet. Effectively, we have access to the full $750 million credit facility as well as to over $100 million in unutilized capacity on our $150 million bilateral demand facilities. We also remain fully funded for all our sanctioned capital expenditures. And with the continued out-performance of our business in the second quarter, we continue to build some cushion on that position. Given our outlook for capital in 2020 of about $300 million, we will almost certainly carry out some funding capacity into 2021. Subsequent to the quarter, we are able to further improve our financial position by both extending the term of our maturities and reducing our interest costs. By refinancing our 5.25% 2024 notes with two tranches bearing an average coupon of 2.65%, we are cutting our annual interest cost in that $600 million amount almost in half while also extending the average maturity by 2 years. Through this refinancing as well as the one completed in September of last year, the weighted average coupon of our notes would be, by far, the lowest within our Canadian midsized peer group at just over 3% while at the same time having the second longest weighted average center. Also, in late July, S&P confirmed our investment-grade rating and stable outlook. With that, we have now had both credit rating agencies reaffirm the ratings and outlooks following the COVID outbreak.  In summary, the business had a very strong second quarter. To the extent that we see bumps in the economic recovery over the remainder of the year, we remain well positioned with a resilient business as was evidenced in our results this quarter. We have market-leading quality of cash flows, a strong balance sheet and are more than fully funded. At this point, I will turn the call over to the operator to open up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jeremy Tonet with JPMorgan. Your line is open.
Jeremy Tonet: Hi, good morning.
Steve Spaulding: Good morning, Jeremy.
Jeremy Tonet: I just wanted to start off with the marketing segment here. When you back out kind of the mark-to-market noise, it seems like you guys actually hit $64 million for segment profit in the quarter. And so just wondering off that, a few questions in the quarter that was thought to be pretty difficult among the worst quarters there, you hit $64 million. Why do you think $80 million to $120 million is the right kind of guidance run rate for the – for that segment? What drove it that high? I mean wondering if you could provide some incremental color. Or I guess what’s not going to happen in 3Q, where you think you are only going to hit $20 million to $30 million in 3Q when you posted such a strong mark in 2Q?
Steve Spaulding: Well, I mean, our segment profit was $44 million, and our adjusted EBITDA was around that $66 million number. And then we have kind of guided to that $20 million to $30 million – kind of that midpoint of that $20 million to $30 million on the segment profit next quarter and within that range on adjusted EBITDA in the third quarter. At the last call, we said that there was a large contango opportunity developing. And we had significant storage at our Moose Jaw facility and some storage at our Hardisty facility. And to the extent that we would be able to take advantage of that arbitrage opportunity, we would. And after the call, crude oil continued to drop significantly. And so we were able to capture our larger arbitrage than we expected at the last earnings call. In the second quarter, we are – as far as a marketing and trading organization, we are well through over half of the quarter. And the quarter has been very much ranged about that – around that $40 a barrel. Differentials have been very much ranged Brent. So volatility always helps in the marketing organization. But we did carry over segment profit and have captured profit in the second quarter already, and that’s why we are confident in that $20 million to $30 million range. The third quarter, we didn’t give any real guidance there other than we just continue – we believe we will continue to find opportunities in any market, either through our Moose Jaw facility or through our Hardisty or Edmonton assets or even down into – around our Wink terminal, which will start up – really start to start up in September as far as connectivity to downstream pipelines.
Jeremy Tonet: Got it. Thanks for that. And then maybe just kind of building off of the opportunities that could present themselves here, I mean, if you – marketing has done better than expected for some time here. That’s really improved the strength of the balance sheet. The leverage is quite a low place right now. And it seems like you guys have some balance sheet capacity maybe to be a little bit on the offense here, whereas maybe you guys have the opportunity for some bolt-on acquisitions that could be small in nature and helpful to you. And on the other side of the coin, other mid-streamers, particularly in the U.S. are kind of in more difficult shape right now and might need to kind of divest in smaller assets to help out there. Just wondering how you think about that dynamic and that opportunity set right now?
Steve Spaulding: I mean it’s really nice to have the balance sheet that we have in this current environment. As far as opportunities, we have always been pretty leery of doing M&A. Because the one thing we do want is that sustainable cash flow that we have today. And so any kind of M&A, we would be really looking forward sustainability of cash flow on a long-term basis and additional growth platforms. But right now, we haven’t seen any really kind of develop that fits our strategy today, Jeremy.
Jeremy Tonet: Got it. So if M&A or capital deployment opportunities don’t materialize, I guess, would repurchases kind of make sense of the next place to put that capital?
Steve Spaulding: Yes. I mean, that certainly is an opportunity. But we feel pretty confident on our capital growth program. We said that $200 million to $300 million next year, and we feel like we can continue to deploy that $200 million to $300 million as we go out just on our existing platform. But we are going to take a harder look at our strategy throughout the remainder of the year and work with the Board and see if there are opportunities to adjust that strategy in the future, but right now, we are very confident in what we do and how we have executed on our strategy.
Jeremy Tonet: Great. Thank you for taking my question.
Operator: Thank you. Our next question comes from the line of Ben Pham with BMO. Your line is open.
Ben Pham: Okay, thanks. Good morning. I was wondering – you guys mentioned a couple of high level impacts from COVID-19. Moose Jaw probably is not as badly impacted. Conventional is seeing a bit of pressure. As you look at the last 3 months, are you able to quantify or look at quantifying the impact from COVID-19 in terms of EBITDA? And then to that, is there – do you think there is some sort of situation or – where marketing was some sort of a hedge for you guys here or infrastructure got hit a bit, but then marketing was stronger than expected that you ended up – marketing acting as sort of a hedge to COVID-19?
Steve Spaulding: Sean, why don’t you take that one?
Sean Brown: Yes, yes, absolutely. Thanks, Ben. I mean as you heard in our prepared remarks, if you think about the impact of COVID-19, I mean, certainly, there was some impact in our Infrastructure segment. If you go through the prepared remarks, volumes actually recovered a bit quicker than we expected at our terminals. So those ended up effectively in line with the first quarter after adjusting for some of the items that happened in the first quarter. Certainly felt an impact from Canadian small terminals, which was down roughly 40% in the quarter. As we discussed, U.S. volumes actually increased slightly for the quarter, so no real impact there. And at Moose Jaw, we did have an extended turnaround, though that came in below expected cost. So the impact is less than what we would have expected on the first quarter call. It’s tough to really say for the Marketing business given it’s more of an opportunity driven business and around the COVID impact, but we absolutely had a strong quarter. I don’t know if I would necessarily say that our Marketing business acted as a hedge for our business. I think we have a strategy to focus on crude oil infrastructure and to optimize in around that assets and have assets that complement it, optimize it or help it grow. I think this quarter you really saw that. We had a somewhat muted impact from COVID-19. We thought we actually had a relatively strong Infrastructure quarter, and we had a very strong Marketing quarter. So I don’t know if I would necessarily characterize Marketing as being a hedge, rather than just taking advantage of opportunities that were in the market because of our Infrastructure assets.
Ben Pham: Okay, that makes sense. Can I ask you then, you always talked about and done a good job of providing us the blue sky scenario on your storage opportunity, the access to line and just the size of that being that big and they are running there. What’s your commentary on the blue sky for DRU? Like when you think about the rail capacity and ability to expand your land, the size of the land position. You mentioned Phase 2 maybe next year, but like how – what type of running room do you have beyond that?
Steve Spaulding: So Ben, so you look at the facility, the facility is going to be set up to build 5 – 50,000 barrel a day DRUs. So that’s the initial design. So all the infrastructure into and out of the facility is designed to meet that kind of 250,000 barrel a day feed rate, and the ConocoPhillips agreement was that first 50,000. Now we have significant land near – position us, and USD have significant land positions up there by the HURC Unit Train Facility. So the 250,000 limit was designed because that’s kind of the capacity that little over 3 unit trains a day. Now we can build another unit train track and continue to add on DRUs. There is really not a lot of limits in our capacity to develop that other than the need in the market.
Ben Pham: Okay, that’s great color. Thanks everybody.
Operator: Thank you. Our next question comes from the line of Matt Taylor with Tudor, Pickering, Holt. Your line is open.
Matt Taylor: Yes, thanks for taking my questions here, guys. On new tankage, Steve, you mentioned 1 of the 2 tanks may slip into 2021. So can you just give us some updated thoughts on that 2 to 4 tank range? Is it fair to say that you are expecting to be sort of in the bottom end of the range? And then is there any reason why you think that would change maybe extended COVID-related restrictions or lockdowns? Any commentary on that would be helpful.
Steve Spaulding: So Matt, if you kind of look at it last year, we contracted kind of the – we contracted 2 tanks late, like in mid-December. So it was pretty close last year. And this year, as far as negotiations go, we feel really comfortable. It’s really about how comfortable our customers in entering obligations right now. They see the need for the tankage and there is a timing. It’s just timing issues. So the 2 to 4 tanks is really a nominal but something nominal that we throw out there. And over time, we believe that we will build those 2 to 4 tanks at Hardisty. So we are still pretty comfortable. We are just – things took a pause for about 2 to – a little over 2 months in commercial negotiation. And so with that, we are just trying to be conservative in what we say to make sure we do what we say we are going to do. we are very excited really what’s happening at Edmonton. This TMX, it continues to progress forward. We have numerous customers of ours, existing customers at Hardisty that we are definitely – that we are discussing additional tankage at Edmonton and support them on their long-haul contracts on TMX. So we can build 2 million barrels of tanks there at Edmonton to support that. And I would say we are talking to 5 or 6 different potential customers currently on building out the rest of our footprint there at Edmonton.
Matt Taylor: Great. Thanks for that, really that’s helpful. And just a follow-up to that, what proportion of this growth – are these tankage adds. Are you expecting to contract internally? And as you are thinking on that shifted a little bit as production is recovering? And what I mean by that is would you be willing to do maybe some additional tankage internally that maybe you would otherwise have reserved for third party or just sort of the mix – commentary on the mix would be helpful.
Steve Spaulding: We contracted our first internal tankage last year, and that will come on this – that will come on when these tanks come on in the fourth quarter. We are very comfortable with that tankage. I have heard and – I don’t see us contracting anymore internal tankage at Hardisty or Edmonton. We are comfortable with our position in tankage right now, Matt. So as a mix, I would say, majority of all those contracts at Hardisty are all with third parties, the big oil sands players and the downstream refiners. And so you look at our contract life there, and it’s just under 10 years on our contract life remaining all those contracts. And so we really like the length of the contract. We really like the creditworthiness of all of our customers and that’s what’s providing that really stable infrastructure income that you see quarter after quarter, Matt.
Matt Taylor: Great. Thanks. That’s it for me. Thanks for taking my questions.
Operator: Thank you. Our next question comes from the line of Linda Ezergailis with TD Securities. Your line is open.
Linda Ezergailis: Thank you. Just wanted to build on this notion of defense versus offense given your relative strength in the industry and recognizing that the Board has a lot of things to consider, how might they consider timing a dividend increase before the historical cadence? And conversely, what might cause them to pause growing the dividend if they see outsized opportunities potentially or other considerations?
Steve Spaulding: Sean, I’ll let you handle that. Thank you for the question, Linda.
Sean Brown: You bet. Thanks for that Linda. With respect to your defense versus offense question, as the dividend is at the discussion of the Board. We have made it pretty clear that with respect to annual increases that we are going to look at it once a year at the beginning of the year, as we did earlier this year. Really no changing in thinking has happened in around that. So I don’t expect that we will review it again until early next year. With respect to what could cause an annual increase to pause, when we increased our dividend earlier this year, we did make it quite clear that we see real benefit in annual increase. The quantum of that increase will be considered with the board in conjunction with what we see as our capital opportunities at that time. And we have been very clear that we are going to grow our dividend – or our plan is to grow our dividend with our Infrastructure cash flows. We’re adding 3 tanks at the end of the year. The Infrastructure cash flows will be growing. As we look forward, though, to the extent that something, were to pause future dividend increases, it would really be a pause in that Infrastructure segment profit growth.
Linda Ezergailis: That’s helpful context. One of the other tenets of your financial strength as well has been essentially a self-funding model, which, at some point, might constrain your opportunities if tuck-in acquisitions do present themselves. I am wondering what might prompt a deviation of a self-funding model and how might joint venture partnerships with financial investors instead of or on top of public capital market accessing comprised part of your funding strategy at some point?
Steve Spaulding: Sean?
Sean Brown: Yes, you bet. Thanks, Steve. Yes. No, the self-funding model, Linda, is still very, very much a tenet of our overall capital allocation flexibility. That’s absolutely important to us. We have in our deck that – if you look at the updated deck, the sort of cash flow allocation slides that, with where we sit right now, we view that our self-funding capability to be well in excess of the $300 million we expect to spend this year. So we actually expect to carry out funding capacity again into next year. For us not to be self-funded, it would really have to be something inorganic that would drive that given our guidance to $300 million of capital this year. $200 million to $300 million next year, if anything, we are going to have excess capacity as we would currently model it. To the extent that there was an opportunity, something opportunistic, as you noted, that was absolutely on strategy for us. I think Steve answered that earlier with respect to whether or not that’s been a focus for us. But to the extent that something like that did materialize, absolutely, we would look for any measure that would maximize returns to our shareholders to help finance that. But right now, we are really focused on organic growth. And as we look at spending $300 million this year, $200 million to $300 million next year, we remain absolutely self-funded with anything excess funding capacity.
Linda Ezergailis: And maybe just a bigger picture question, perhaps for Steve, your focus strategy has served you well the last number of years. But these are unprecedented times, not just for the industry but arguably society. And I am just wondering how you are starting to think about potentially adjusting the long-term strategy as it might relate to the types of energy that you might dabble in, let’s say, or geographies or parts of the value thing from an Infrastructure perspective?
Steve Spaulding: So annually, we kick off our strategy review and take a look at our strategy. And we just started that review two weeks ago. And so really it’s much more on a macro basis. Right now is what are the opportunities out there and we have talked to the board and the board has been supportive and looking at a broad – they want us to look broadly across the opportunity. But again, just like when I was talking to Jeremy that stability of cash flow is what got us here. Those conservative guideposts in our financial principles, is what got us here. So – and we like the position we are in. We’ve continued to deploy that $200 million to $300 million a year over the last three years, and we are confident that continuing to deploy that $200 million to $300 million on high rates of return projects. These are the 5x to 7x EBITDA-type project. So – and our creditworthiness of our customers continues to shine through even in these very trying times. So we will look for other opportunities along the way and see how we can expand that strategy. But right now, we are in the very early stages of that, Linda.
Linda Ezergailis: Thank you for the context.
Operator: Thank you. Our next question comes from the line of Ian Gillies with Stifel. Your line is open.
Ian Gillies: Morning everyone. I wanted to go back to some of the comments around the opportunities at Edmonton. I was just curious if you think the opportunities around TMX could potentially tie up all 2 million barrels of potential storage that could be built at your site there?
Steve Spaulding: Yes. We believe it could, right? And that’s a good thing for us, right, because you are talking really long-term contracts. You are talking about the opportunity to these investment-grade counter-parties. And so, we would love the opportunity to deploy, let’s say, $150 million into our Edmonton asset or maybe – or more, right. So and with that, we also still continue to expand the rail capacity out of that. That is – the facility has over 120 rail-loading slots, all manifest, really that helps support the local refiners and exporting their refined products into the market. So – and we continue to develop additional projects there. We did several last year, and we have several that we believe we will contract this year and move forward with. So – and at the end, there are opportunities to buy land adjacent to us potentially and to continue to expand our terminal. Because of our connectivity, it would be more of a Brownfield opportunity on expansion.
Ian Gillies: Thanks. That’s helpful. And you hit on the next question I was going to ask with respect to adjacent land. The other thing I wanted to ask is, you’ve obviously started to dabble in the Midwest U.S. through an equity investment. I’m just curious around what you see with respect to business development opportunities in that region at this point in time?
Sean Brown: Yes, that’s – it’s a tough – it’s – at this current time, that spread is pretty tight. And so really that’s a rail arbitrage opportunity between our Edmonton and our Hardisty assets and our Moose Jaw facility. But we kind of like this, where the facility fits and how it fits. It really supports Canadian oil sands. And so we will continue to work with our partner there, who is the commercial lead on that, to see if we can generate more opportunities at that facility.
Ian Gillies: Great. That’s helpful. Thank you very much I will turn the call back over.
Operator: [Operator Instructions] Our next question comes from the line of Matthew McKellar with RBC Capital Markets. Your line is open.
Matthew McKellar: Thanks very much. Good morning. This is Matthew on for Robert Kwan. At Moose Jaw, can you please just give us an update on your outlook for some of the key products there? I think you said the heavy end of the barrel, you see demand kind of tick upwards, but if you sort of run through your outlook by key products, including asphalt, roofing flux, drilling fluid, etcetera?
Steve Spaulding: Well, I would say roofing flux is really kind of unchanged in its margin. And then asphalt is a pretty typical year end margin. On the drilling fluid market, I would definitely agree. I mean that has been challenged. And then the lighter-end products, the margins on that have been challenged. But you kind of look at our second quarter earnings at Moose Jaw, and you look at what our third quarter earnings at Moose Jaw are going to be. And the reality is that they’re going to be higher than the first quarter earnings. So – and that’s just due to the marketing organization and to an opportunity buying of crude oil and utilizing the tankage, both on the refined product side and on the crude oil side, to really help generate revenue across Moose Jaw even in these extremely trying times. We do believe that the markets will continue to open up in the third and fourth quarter, especially on the asphalt and the roofing flux side.
Matthew McKellar: Great. Thanks. And then maybe as a follow-up, just in the Permian, can you please give an outlook, I guess, on what you’re seeing right now in your existing assets and then talk about maybe your plans for capital deployment as it stands today versus maybe how you were thinking about things pre-COVID?
Steve Spaulding: So first quarter to second quarter, actually, our volumes increased across the two quarters. So we are now moving more volume than we have ever moved through our asset, and that’s because we’ve connected up additional wells in the quarter, and we connected up additional producer in the quarter. We have another producer that will connect up in September and another – and two connections there and Wink that will complete in the third quarter. And then I would say probably for the rest of the year, we’ll probably be idle on capital. But I still – we’ve said that CAD25 million to CAD50 million, and I believe we will be able to spend that next year. And just kind of the short expansions of the gathering system, two new producers there or existing connections or tankage there at Wink, so we are atypical to – we are not a typical crude oil gathering system. We don’t [indiscernible] well at connect. We do CDPs. And so what that means is that we’ll go in and get an area dedication. So we get an 80,000 acre area dedication with a drilling commitment on it. We will put one or two CDPs on that, and then the producer lays into us because they have the land rights to do that much more inexpensively than we do. And then that also allows us not to deploy capital just to stay in the same place.
Matthew McKellar: Great. That’s all for me. Thanks very much.
Operator: Thank you. I’m not showing any further questions in the queue. I would now like to turn the call back over to Mark Chyc-Cies for closing remarks.
Mark Chyc-Cies: Well, thank you, everyone, for joining us on our 2020 second quarter conference call. Again, I would like to note that we have made certain supplementary information available on our website, gibsonenergy.com. Lastly, if you have any further questions, please reach out to us at investorrelations@gibsonenergy.com. Thank you, and have a great day. This will conclude our call.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation. You may now disconnect.